Operator: Good day, and welcome to the EVERTEC Second Quarter 2025 Earnings Conference Call. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Beatriz Brown from Investor Relations. Please go ahead.
Beatriz Brown-Saenz: Thank you, and good afternoon. With me today are Mac Schuessler, our President and Chief Executive Officer; and Joaquin Castrillo, our Chief Financial Officer. Before we begin, I would like to remind everyone that this call may contain forward-looking statements and should be considered in conjunction with cautionary statements contained in our earnings release and the company's most recent periodic SEC report. During today's call, management will provide certain information that will constitute non-GAAP financial measures under SEC rules, such as constant currency revenue, adjusted EBITDA, adjusted net income, adjusted earnings per common share and constant currency adjusted earnings per common share. Reconciliations to GAAP measures and certain additional information are also included in today's earnings release and related supplemental slides, which are available in the Investor Relations section of our company website at www.evertecinc.com. I will now hand the call over to Mac.
Morgan M. Schuessler: Thanks, Beatriz, and good afternoon, everyone. I'm pleased to announce second quarter results that reflect solid revenue growth across all of our segments. We delivered healthy growth over the prior year and exceeded our internal expectations as we continue to execute at a high level across all regions and business segments. I will begin today's call with a brief summary of our second quarter 2025 results, followed by a discussion of our Puerto Rico business and an update on LatAm. I will then turn the call over to Joaquin, who will provide some additional details on our Q2 results and our updated outlook for 2025. Beginning on Slide 4, I'll start by covering a few highlights from our second quarter results. Revenue for the second quarter was $230 million, an 8% increase over the prior year, while constant currency revenue was approximately $233 million, representing growth of 10% as we again saw growth across all of our segments. Adjusted EBITDA increased to $93 million, up approximately 8% year-over-year, and adjusted EBITDA margin was 40.3% for the quarter and aligned with our expectations. Adjusted EPS of $0.89 was up 7% year-over-year, driven by the strong adjusted EBITDA growth and lower interest expense, partially offset by higher tax expense and operating depreciation and amortization. We generated operating cash flow of approximately $86 million during the first half of the year and returned cash to shareholders through $6.4 million in dividends and $3.7 million of share repurchases. Our liquidity remains strong at approximately $485 million as of June 30. Let me now provide an update on Puerto Rico, beginning on Slide 5. Merchant Acquiring revenue grew 4% year-over-year, driven by an improvement in spread as we continue to benefit from pricing initiatives implemented in the prior year and sales volume growth. Payment Services Puerto Rico also grew 4% year-over-year, driven by the strong performance in ATH Móvil, primarily ATH business as well as POS transaction growth. ATH Móvil revenue grew 17% year-over-year. Business Solutions revenue also grew 4%, primarily driven by projects completed in the prior year, mainly for Popular and an increase in IT consulting services. The overall economic condition in Puerto Rico continues to remain stable. The unemployment rate remains near multi-decade lows of about 5.2%. Passenger traffic in the San Juan Airport remained strong, up approximately 11% year-over-year through April. Moving to Latin America on Slide 6. Revenue increased 15% year-over-year or 20% on a constant currency basis, driven by continued organic growth across the region and the contribution from the Grandata and Nubity acquisitions. Our pipeline remains as active as it's ever been, and we are confident in our ability to convert some of these opportunities into wins over the next quarters. Last quarter, I made a few comments regarding the tariff discussions. And while we still remain vigilant of the potential tariffs that might be imposed in the countries in which we operate, to date, we have not identified a direct impact on our results of operations. Before I turn the call over to Joaquin, I would like to note that our Board of Directors approved a refresh of our share repurchase program, authorizing the company to repurchase up to an aggregate of $150 million of shares of its common stock through December 31, 2026. I believe strongly in the opportunity ahead for EVERTEC, and our share repurchase program provides another avenue for capital allocation while allowing us to continue and invest in the business for long-term growth. With that, I will now turn the call over to Joaquin to provide deeper commentary around our second quarter results and discuss our increased outlook for 2025.
Joaquin A. Castrillo-Salgado: Thank you, Mac, and good afternoon, everyone. Turning to Slide 8, I'll start with a review of our second quarter results. Total revenue for the quarter was $229.6 million, up approximately 8% compared to the prior year quarter, reflecting strong organic growth across all the company segments and the contribution from acquisitions completed in the fourth quarter of 2024. Constant currency revenue was up 10% in the quarter, with most of the headwind coming from the Brazilian real. Adjusted EBITDA for the quarter was $92.6 million, up approximately 8% from last year, with a margin of 40.3%, a decrease of 30 basis points from a year ago, but in line with our expectations. The decline was mainly a result of last year's margin being positively impacted by highly accretive onetime revenues in our Business Solutions segment. Adjusted net income was $57.7 million, an increase of approximately 7% year-over-year, driven by the growth in adjusted EBITDA and lower cash interest expense, a function of the lower SOFR rates in comparison to the prior year and the effect of the Term Loan B repricing efforts executed last year. This was partially offset by a higher tax expense with our effective tax rate for the quarter coming in at 7.1% and higher operating depreciation and amortization expense. As expected, our effective tax rate has been increasing slightly as we find ways to lower our interest expense, which drives certain tax efficiencies and also as our EBITDA in LatAm and higher tax jurisdictions continues to grow. Adjusted EPS was $0.89, an increase of approximately 7% from the prior year, driven by higher adjusted net income. Moving to Slide 9. I will now cover our second quarter results by segment, beginning with Merchant Acquiring. Net revenue increased approximately 4% year-over-year to $47.3 million as we continue to see benefits from a higher spread and positive sales volume growth. As discussed in previous calls, we have now anniversaried most of the pricing initiatives implemented in the prior year. We also saw lower gas prices this past quarter, which impacted sales volume growth negatively, but this was offset by an increase in government-related payments related to tax returns. Adjusted EBITDA for the segment was $20 million with an adjusted EBITDA margin of 42.3%, an increase of approximately 200 basis points from the previous year as we drive revenue growth through improvements in spread. This effect was partially offset by higher processing costs as we saw higher overall transactions as a result of a lower average ticket. On Slide 10 are the results for the Payment Services, Puerto Rico and Caribbean segment. Revenue in the quarter was $56.4 million, an increase of approximately 4% from the prior year. The revenue increase was primarily driven by sales volume and transaction growth in ATH Móvil business as well as 5% POS transaction growth. This was partially offset by a decrease in services provided to the Latin America segment, mainly as a result of lower transactions processed due to customer attrition. Adjusted EBITDA was $33 million, up approximately 5% from the prior year, and adjusted EBITDA margin was 58.5%, an increase of approximately 70 basis points from the prior year. The increase in margin is driven mainly by revenue growth and expense management. On Slide 11 are the results for Latin America Payments & Solutions. Revenue in the quarter was $86.1 million, up approximately 15% year-over-year or approximately 20% on a constant currency basis. We experienced organic growth across the region and continue to benefit from strong performance in the GetNet Chile relationship and the continued reacceleration in Brazil, offset by attrition impacts in the quarter, mainly related to the MELI relationship. The segment also benefited from Grandata and Nubity, the 2 acquisitions we completed in the fourth quarter of last year, both of which continue to perform as expected or better. Adjusted EBITDA was $23.3 million, an increase of approximately 33% from the prior year, with an adjusted EBITDA margin of 27.1%, up approximately 370 basis points. The margin increase was driven by the higher revenues, expense management initiatives and a positive impact to margin from the MELI attrition that was coming in at lower margins than average. Moving to Slide 12. Our Business Solutions segment revenue increased approximately 4% to $64.5 million. The increase is due primarily to the tailwind from projects that went into production last year and an increase in IT consulting services. We are lapping a key project this quarter, and the second key project that went into production will be lapped next quarter. Adjusted EBITDA was $26 million, down approximately 13% from a year ago, and adjusted EBITDA margin was down approximately 750 basis points from the prior year to 40.3%. Margin is down year-over-year as our prior year margins were positively impacted by the effect of a highly accretive nonrecurring project that was recognized. Moving to Slide 13, you will see a summary of our corporate and other expenses. Corporate and other adjusted EBITDA was negative $9.8 million in the quarter or 4.3% of total revenue, which is lower than the expected 5% as we see some of the benefits from expense management initiatives we have implemented. Moving on to our cash flow overview for the first half of 2025 on Slide 13. Net cash from operating activities was $86.1 million. Capital expenditures were $42.3 (sic) [ $42.7 ] million through the second quarter, in line with our plan for $85 million for the year. We paid down approximately $16.8 million in debt, paid approximately $8.9 million in withholding taxes on share-based compensation, returned approximately $10 million to shareholders through share repurchases and dividends and exercised our option in the prior quarter to acquire the remaining noncontrolling interest in a Sinqia subsidiary for approximately $5.2 million. We repurchased approximately 102,000 shares of our common stock during the quarter for approximately $3.7 million. And as Mac mentioned, our Board of Directors refreshed and extended our share repurchase program back to $150 million authorized for repurchase through December 31, 2026. Our ending cash balance, excluding cash in settlement assets was approximately $314.4 million, an increase of $16.1 million from the year ended 2024. Moving to Slide 15. Our net debt position at quarter end was $673.6 million, which includes $964.2 million in total long and short-term debt, offset by $290.6 million of unrestricted cash. Our weighted average interest rate was approximately 6.55%, a decrease of approximately 60 basis points from the second quarter of 2024. Our net debt to trailing 12-month adjusted EBITDA was approximately 1.95x, down from 2.28x a year ago. As of June 30, our total liquidity, which excludes restricted cash and includes borrowing capacity, was $484.5 million, up approximately $33 million from a year ago. Now I will turn to Slide 16 for commentary on our updated 2025 outlook. We now expect revenues to be between $901 million and $909 million, representing growth of 6.6% to 7.6%. This is a result of Q2 overperformance and an improvement in foreign currency incorporated throughout the rest of the year, reflecting the improvement of the Brazilian currency this past quarter. On a constant currency basis, we expect growth of 7.8% to 8.7% year-over-year and above our prior constant currency range of 6.8% to 7.7%. Adjusted EPS is now expected to grow between 4.8% and 7% from the $3.28 reported for 2024, higher than our previous assumption of 2.4% to 5.2% growth. We continue to assume an adjusted EBITDA margin of 39.5% to 40.5% and adjusted effective tax rate of 6% to 7%. I will now walk you through some of the key underlying assumptions that we considered in arriving at the outlook, beginning with revenue expectations for our business segments. For Merchant Acquiring, we continue to expect mid-single-digit growth in 2025 as we anniversary some of the pricing initiatives implemented last year and approach tougher year-over-year comparables. In Payments Puerto Rico and Caribbean, we now expect low to mid-single-digit growth as we continue to benefit from strong ATH Móvil growth, partially offset by processing services with the LatAm segment and partial impact from the Q4 discount to Popular. For Payments Latin America, we continue to expect low double-digit growth as we continue to rely on strong organic growth across the region and the impact from M&A, offset by the headwind of foreign currency, mainly in Brazil. On a constant currency basis, we expect growth in the low to mid-teens. We are now seeing most of the impact from MELI reflected in our numbers. And as a reminder, we will anniversary both the Grandata and Nubity acquisitions in Q4. Finally, in Business Solutions, we continue to expect low single-digit revenue growth for the full year, mainly as a result of the 10% discount to Popular MSA services in the fourth quarter, which, as mentioned previously, amounts to approximately $18 million annualized or about $4 million per quarter. Now turning to overall margin. The 10% Popular discount that we have previously discussed will begin to impact our revenue and adjusted EBITDA in the fourth quarter of 2025 by approximately $4 million. The cost initiatives put in place to offset this impact continue to progress as planned, and this was reflected in our Q2 margin. We continue to expect a gradual improvement in overall margin in the third quarter and then a reset lower in the fourth quarter as the discount takes effect, netting out to the 39.5% to 40.5% margin expected for the full year. We continue to expect an adjusted tax rate of 6% to 7% and CapEx of approximately $85 million for 2025. We expect to return cash to shareholders via dividends and repurchases. In summary, we had a strong first half of the year and are on track to deliver strong top line growth in 2025 with improved margins. We look forward to updating you on our progress throughout the year and hope to see some of you at conferences over the next few months. Operator, please go ahead and open the line for questions.
Operator: [Operator Instructions] Our first question comes from Vasu Govil of KBW.
Vasundhara Govil: Mac, maybe first for you. Sinqia, that had been a strategic focus for the company for the last several quarters. And you laid out 4 or 5 different initiatives around tech modernization, repricing, et cetera. And obviously, you seem to be reaping the benefits of those initiatives as Brazil is getting better. But maybe you could just remind us what innings are you in with each of those initiatives? I know some of them will be ongoing, but just looking for some sort of update on what progress has been made.
Morgan M. Schuessler: Sure. Thanks, Vasu, for the question. So as you know, I mean, the entire segment grew double digits this quarter, and we're incredibly pleased with that. And there are 3 components. One is Sinqia, which actually outperformed our expectation for the quarter. The legacy business, which performed in line with what we expected and then the acquisitions performed incredibly well. So if you look at all 3 parts of that segment, they performed at or above our expectations. To your question, Sinqia was a significant amount of focus for us as we integrated that acquisition through a couple of initiatives. One was, again, really focusing on customers and modernizing our technology. So that's a multiyear sort of initiative, but we modernized the technologies and the platforms first where we thought we could get the most revenue in the short amount of time. So we're seeing that flow through the numbers, and we think that will flow into the rest of the year and into '26. But that will be a multiyear project where we modernize our platforms, we're able to change pricing and then we are also able to grow with our customers. Then we also did a repricing in general. So beyond just the modernization is we looked at some of these legacy contracts and went back to are we priced below market? Can we change it again so we can grow the market? And so with those revenue synergies, we did the repricing, and we're seeing the benefits of that this year and again into next year. And then margin optimization. We've taken a very close look at margins. We're managing those. As you can see, we don't break out Brazil separately, but the margins for the segment were pretty good. But all these initiatives, we're seeing the sort of the benefits of those this quarter, and that was why we saw the strength in the quarter, and we think that will carry out through the rest of the year.
Vasundhara Govil: Great. That was great color. And then maybe a quick one for you, Joaquin. Just on the outlook, the second half outlook also looks to be better than initially thought. And I think some of it is just FX headwinds are lower. But just if you were to think about the underlying trends, I know you called out some headwinds from gas prices in the quarter. But other than that, it seems macro is fine. How are you guys thinking about any impact from tariffs in the back half? Just sort of what's baked in into the second half from expectations going into the year? Is it better or worse? And then from a macro perspective, what are you baking in?
Joaquin A. Castrillo-Salgado: I mean I think in general, it's better, right? I think the first half has been very, very good, and LatAm has, in general, exceeded expectations. What I would say to give a little bit more color in terms of what we're thinking, right, to your point, if we look at Merchant Acquiring, we're kind of lapping some of these pricing initiatives that have been a tailwind for us. So we won't necessarily have, let's say, that push going into the second half. And that's, I would say, what's driving the second half of that guidance. In general, when it comes to tariffs, I think more generally, on the low end of our guidance, we have, as we did last quarter, kind of included some conservatism just to give ourselves some space given the uncertainty. But again, nothing substantial in terms of how we're expected to perform for the full year. When we look at Payments Puerto Rico, I would say we continue to expect performance relatively similar to what we saw this past quarter, except that in Q4, part of the Popular discount will have some effect in that segment. So that will, again, kind of slow down in Q4. And when we look at Latin America, I think there's 2 key things. One, we kind of called out in the prepared remarks, we're going to anniversary the 2 acquisitions in the fourth quarter. But as a reminder, in Q3 of last year, we also had an important catch-up related to GetNet that amounted to about $1.8 million that we won't have this year. So that also kind of contributes to, let's say, our guidance for the second half. In the case of Business Solutions, again, what I would say is similar performance, except that in Q4, the full effect of the discount, which is mainly impacting Business Solutions is going to get, let's say, reflected in the numbers. So I hope that adds a little bit of more detail as to how we're thinking about it.
Operator: Our next question comes from Nate Svensson of Deutsche Bank.
Christopher Nathaniel Svensson: Guys, nice result. Mac, you mentioned an active pipeline that you think should lead to new business wins. I was hoping you could give a little more color on that. Maybe what areas of the business are getting you excited within the pipeline? And then has there been any change in tenor, of tone -- tenor or tone of these conversations that you're having? Like I know across the industry as a whole, we've talked about delayed decision-making, especially post the April tariff announcement. So just wondering if you've seen anything like that or any color you can give there?
Morgan M. Schuessler: No. So I mean, I would say -- I would repeat, we have a very active organic pipeline. I mean we announced Grupo Aval a couple of calls ago, I don't know if it was last -- 2 calls ago. But we're very enthusiastic about some additional opportunities that we should be able to announce this year. We don't see people pulling back because of the noise around tariffs. These are long-term decisions that financial institutions are making to upgrade or change their technology so that they can grow either their issuing or acquiring portfolio. So we haven't really seen an impact into the demand that we're dealing with now. But I mean, we'll announce the deals as they come, but we're very optimistic about our pipeline.
Christopher Nathaniel Svensson: That's great to hear. The other thing that I think stood out was just the strength in ATH Móvil. I think you mentioned that revenue growth of 17% seems incredibly strong. Could you unpack that a little bit? What is driving that really healthy growth? Is it macro factors, changes in consumer or merchant demand? Any strategic initiatives on your side that you're pushing?
Joaquin A. Castrillo-Salgado: Honestly, Nate, there's a little bit of everything there. I think we continue to take advantage of cash pockets just in the Puerto Rico economy and ATH Móvil, given the usage and the network effect that it has in Puerto Rico, given almost 2 million users, it is really impactful for businesses of all sizes. And so originally, ATH business, which we kind of envisioned as being something for small businesses has really become something more universal in medium-sized businesses, even in some cases, larger businesses are looking for ways to use that sort of contactless technology. And so we're seeing just more volume and more businesses signing up.
Operator: Our next question comes from Cris Kennedy of William Blair.
Cristopher David Kennedy: Can you just talk a little bit more about Sinqia, historically that they've done a lot of acquisitions? And how has that engendered the possibility of you doing acquisitions with the Sinqia asset?
Morgan M. Schuessler: Yes. So Cris, we were really focused after the acquisition on integrating Sinqia and make sure that it was operating well, make sure that the current business they have, we're getting the growth rate back to where we wanted it. During that time, we've still been actively looking at deals in Brazil. We probably have a deeper understanding of that market than any other market because at the depth of customers, they've already had an M&A function just focused on that market. So we have a very good purview. And as opportunities arise, we're highly confident that we can roll those into Brazil, that operation now that it's growing at the rate that we would like it to. I would just add on, we're still looking at stuff across the region. So if you think about Grandata and Nubity, both of those were in Mexico. So we're looking across the region, but we are extremely excited about looking at things in Brazil, and we have a confidence level now, it's a good time going forward to add things that we can find.
Cristopher David Kennedy: Great. And then just a follow-up. You mentioned Mexico, it seems like a big opportunity for you. Can you just talk about your priorities in Mexico?
Morgan M. Schuessler: Yes. So the initial priority, I mean, we've been very focused on issuing in Mexico, and we continue to talk to different clients there and opportunities there and also integrating Grandata and Nubity. Those have given us sort of -- the type of capability that Grandata has is unique. So it's allowed us to open up conversations with other institutions in the market. But as we look at -- I mean, we've said Colombia is important, Chile is important, Brazil is important, Mexico is important and Costa Rica. Mexico is one that we'll continue to focus on going forward because we definitely don't have the presence that we have in some of those other markets. And so we're actively looking for opportunities and having good conversations.
Operator: Our next question comes from John Davis of Raymond James.
John Kimbrough Davis: Mac, I just wanted to follow-up on a comment you just made on Sinqia. I think you said it was kind of back where you wanted it to be. I just want to confirm that. And I assume that, that means it's back to kind of the healthy, not putting a number on it, high single, low double-digit growth rate that you thought it could be or it was when you acquired it. So it was kind of come full circle, it decelerated and you're happy with the rate of growth there. Is that fair?
Morgan M. Schuessler: Yes. I mean it exceeded our expectations for the quarter. So as we talked about earlier with Vasu's question, as soon as we acquired the company, we spent a lot of time trying to integrate it, but also get the growth rate back and made a lot of changes, and we're very pleased with how it performed. And it -- like I said, it outperformed our expectation for the quarter.
John Kimbrough Davis: Okay. And then I assume kind of an earlier question, I just want to frame it a little bit differently. I know you guys don't guide by quarter, but you said that 2Q was better than you expected, but it looks like the full year was raised by more than kind of the "2Q upside." So it sounds like maybe Sinqia, you expect to continue. Like anything else that was better in the quarter that you also expect to continue to kind of outpace your initial expectations in the back half of the year?
Joaquin A. Castrillo-Salgado: John, so this is Joaquin. I mean, look, as Mac said before, I think we have pretty much the 3 key buckets in LatAm performing at a really high level, meaning Brazil, meaning our organic business in, let's say, the legacy Bay region plus M&A. So we're expecting that to continue. We do have included in that guide a slight improvement in foreign currency that is flowing through as well. But we will anniversary some of the M&A going into Q4. So I mean, nothing else really to highlight.
John Kimbrough Davis: Okay. Last one on M&A. Mac, balance sheet is in really good shape, back under 2x. How do you think about the M&A pipeline? Anything exciting? Do you feel like you're far enough on the other side of Sinqia to do something more material? Or should we consider more deals like Grandata and Nubity?
Morgan M. Schuessler: So what I would say is I wouldn't -- I mean, we're not really focused on a big Sinqia transformational deal. But we do feel like we're in a good shape from a balance sheet perspective. We do have an active pipeline and M&A is a big important -- is an important part of our growth. So you should expect to see us do deals sort of with the exception of Sinqia, things like that, maybe a little bit bigger, maybe a little bit smaller, but sort of in that ZIP code.
Operator: Our next question comes from James Friedman of Susquehanna.
James Eric Friedman: Let me echo the congratulations. Mac, the first one is for you. I'm curious, how would you articulate what you see as your competitive advantage in Latin America? Is it [ apropos ] of your technology advantage? Or is it apropos of your industry knowledge and experience? What -- when you go to market in Latin America, I know it's a big place with a lot of different products. But if you had to summarize what gives EVERTEC the right to win down there?
Morgan M. Schuessler: Yes. So I mean, I would start -- and this has changed over the last decade. I would start with our technology, right? So in the past, we didn't have technology in all these markets and some of the technology we're running was not proprietary. If you look at most of Latin America today, where we do business, we have our own technology where we develop the software, we're able to customize it for customers. We're able to move quickly to implement it, which is unique. And it's also not only that the product is our technology, but it's also deployed with some of the biggest names in the region. So it's tested, it's tried, it works, and we will localize it in each of these markets. So I would start with our technology. The second is our expertise, right? So when some of these partners come to us about merchant acquiring, they want to move away from the sort of the legacy processor in their country. We have the expertise to show them how to do that, how to operate a merchant acquiring business, how to look at pricing, how to look at acquisition, and we can also give them sort of how they stand up that business. So to your point, it's our industry knowledge and our expertise. And then finally, I would say -- not finally, but it's also the fact that we are a public company. We throw off a good bit of EBITDA, and they are confident that because we are public, we make money, we are regulated by the Feds for our U.S. banks that they can count on us to run an operation that if something happens, which God forbid, it does, that we are one of the ones that knows how to deal with compliance, cybersecurity, those types of things. And then the last thing I'd say we're on the ground in each of these countries. So we have a workforce. We have people that can work directly with them. All our developers speak Spanish, but we have a presence in each of these countries. We're not trying to export it from Morocco or export it from Asia, right? We actually have a presence in each of these countries of a team that they can work with.
Operator: Our next question comes from James Faucette of Morgan Stanley.
Unidentified Analyst: This is [indiscernible] asking on behalf of James. Just on Merchant Acquiring, amidst the macro uncertainty throughout this year, it looks like consumer spend trends have held up pretty well. But just wondering if there's anything to call out in terms of category of spend changes and what trends have looked like through the early part of July?
Joaquin A. Castrillo-Salgado: I mean in terms of patterns that we would call out, I wouldn't necessarily -- we haven't identified anything specific that would be, let's say, attached to the tariffs. What we did call out is obviously gas prices. So the sales volume on gas -- on, let's say, our gas segment has been a bit of a drag mainly because the price of gas is down. But other than that -- and then on the other side of it, which is kind of seasonal for us, we had very good volume in, let's say, government payments, mainly as a result of just tax return season. But other than that, to your point, consumer continues to be very resilient. So we haven't seen really any significant changes in any other key areas of the portfolio.
Operator: This concludes the question-and-answer session. I would like to turn the conference back over to Mac Schuessler for any closing remarks.
Morgan M. Schuessler: I want to thank everybody for joining the call. I want to thank my colleagues for a great quarter, and we look forward to seeing you guys at conferences throughout the quarter. Good night.
Operator: This concludes today's conference call. You may disconnect your lines. Thank you for participating, and have a pleasant day.